Operator: Ladies and gentlemen, thank you for standing by and welcome to Anthem First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session.  As a reminder, this conference is being recorded.
Chris Rigg: Good morning and welcome to Anthem's first quarter 2020 earnings call. This is Chris Rigg, Vice President of Investor Relations. And with us this morning are Gail Boudreaux, President and CEO; John Gallina, our CFO; Pete Haytaian, President of our Commercial & Specialty Business Division; and Felicia Norwood, President of our Government Business Division. During the call, we will reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available on our website at antheminc.com. We will also be making some forward-looking statements on this call. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond the control of Anthem. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to carefully review the risk factors discussed in today's press release and in our quarterly filings with the SEC. I will now turn the call over to Gail.
Gail Boudreaux: Good morning and thank you for joining us. Across the globe and right here at home we're facing a critical humanitarian crisis. All of us are impacted and our hearts go out to those struggling. I will focus my comments this morning on the impact of the COVID-19 global health crisis on our business along with the actions we've taken to provide support and relief. I will direct you to the earnings released for the financial results for the first quarter. Let me begin by saying how incredibly grateful I am to the men and women including many of Anthem's own clinical associates fighting in the frontlines of this healthcare crisis from small rural communities to the heart of New York City. I am also incredibly proud of the more than 77,000 Anthem associates who have been providing compassionate and tireless support for our customers, members, care providers and communities each day as we battle this pandemic together to ensure the safety and health of our associates and support the nationwide efforts to contain the virus. In March, we began transitioning our employees away from offices and now have nearly 99% working safely at home. In recognition of these unprecedented times, we are offering our associates up to 80 hours of additional paid leave providing online workouts, expanding mental health support and have increased our Anthem Cares Emergency Relief Fund to help associates manage through this crisis.
John Gallina: Thank you Gail and good morning. My objective today is to share with you the actions that we've taken to enhance our liquidity and strengthen our already solid capital position as well as sharing some of the scenarios that form the basis of our outlook, but first I'll briefly review our first quarter results which were both strong and largely unaffected by the current crisis.
Operator: Thank you.  We will go to the line of Stephen Valiquette with Barclays. Please go ahead.
Stephen Valiquette: Great. Thanks. Good morning everyone. Let me commend you and everyone at Anthem on the work you're doing around the pandemic that you highlighted earlier and question is just around the medical reserves. I guess I'm curious if you're able to provide a little more color on the actuarial process around medical reserving for all the puts and takes related to COVID-19 and then did any extraordinary reserving impact that reported 1Q, ‘20 MLR at all? Wanted to confirm that one way or the other. Thanks.
John Gallina: Thank you, Steve. This is John. I'll just start out by stating that our reserving philosophy is consistent which is both prudent and reasonably conservative. The reserves are estimated based on the immediate view of how claims are developing. Under GAAP accounting we cannot reserve now for claims that will be incurred later in the year which might include accruals for pent-up demand and utilization of elective or discretionary services. So we've been very consistent and conservative with our view -- the impact of COVID-19 actually is rather minimal on the first quarter results and on our March 31 reserve balances is a GAAP accounting does require to only look at what's been incurred through the end of the reporting period. We do have conservatism factors in to ensure that they're all actually justified but really COVID-19 has minimal impact on the March 31 reserve balances. Thank you.
Gail Boudreaux: Thank you for the question Stephen. Again appreciate your comments. We're really proud of the work that all of our associates in Anthem have done to help respond to this incredible humanitarian crisis and as John said I just want to reiterate we've been very consistent in our reserving practices and process. Next question please.
Operator: We will go at the line of Ralph Giacobbe with Citi. Please go ahead.
Ralph Giacobbe: Thanks. Good morning. Appreciate all the details. If the recovery is slower and costs do remain suppressed can you give us a sense of how close you are to MLR floors and potential for MLR rebates and then how that impacts or influences your thoughts around pricing into 2021 just given the timing of all this? Thanks.
John Gallina: Thank you Ralph. Great questions. First of all in terms of some of the MLR rebates as you know in our individual line of business we have earned above target margins in both 2018 and 2019 and we expected a normalization of that to occur of our margins to occur here in 2020. So obviously regardless of the length or the recovery of the COVID-19 situation, I think individuals kind to have more rebates in any circumstance. In terms of some of the other lines of business well clearly that does play a role in our modeling and in impacting really how the imbalance, inequities in the system might be handled by us throughout the year in terms of the forward view of trend, we will clearly price to the forward view of trend but we'll also have to understand the impacts on the providers, on the members, on the customers here in 2020 and make decisions accordingly.
Gail Boudreaux: Yes. Thanks Ralph. I'll just follow up a little bit on John's comments because I think he hit the high points. I mean we're closely monitoring the situation and as you know this is emerging information for us around how the Corona virus will translate over the course of this year. At this stage we're really in the early, I would say stages of understanding the cost of treating our patients and including -- we're covering the co-pays and deductibles, etc. but as we think about that fundamentally we believe that as John said, we will put that into, we’ll think about that, think about the entire cost structure for all of our customers and at this stage, the majority of our business is one-one and that as we get into the course of the year we'll have much better information be able to share more of that. Thank you. Next question please.
Operator: We'll go to the line of Matthew Borsch. Please go ahead.
Matthew Borsch: Yes. Thank you. I'm just wondering could you just comment on how you think about the trade-off between the commercial and Medicaid membership and/or the Obamacare Exchange members in terms of well, revenues maybe more clear but in terms of the earnings mix and obviously that's going to be pretty different or I would assume for fully insured versus self-funded commercial members.
Gail Boudreaux: Thanks for the question Matt. Let me, there's a number of things inside of that. So let me sort of give you a perspective. First and foremost, as we think about what's going on, our priority right now has been really to work with our customers to help them navigate this crisis. In terms of our commercial membership let me sort of break it into each of the individual pieces. Now it's pretty early in this process right now. We do expect that we will see because of the potential high unemployment some impact, certainly impact on our commercial enrollment. The early stages have been muted because of what's happening with furloughs. So thinking about that we have, as John mentioned in his comments we have a much more diversified business than we historically had. Thinking about where that membership would go versus what happened in 2008 in terms of the economic recession then we've had Medicaid expansion. So we would expect 40% to 50% of those members to potentially go into the Medicaid markets and -- in that sense we're fairly well diversified. All 14 of our markets today have both Medicare, I'm sorry Medicaid commercial and the individual exchanges plus there are 10 additional markets and the 24 we covered for Medicaid, where we don't have commercial and obviously have an opportunity to have an impact in those states as well. So again about we think 40% to 50% potentially go into the Medicaid pools. Another probably 30% or so have an opportunity to go into the individual exchanges where we also have a footprint and so that's kind of the break out as we see in terms of enrollment going forward. Another opportunity is we work with our commercial clients, I think they're really trying to understand this impact to their overall business and we have a number of affordable options for them as they think about buy downs in different products and we are seeing an increase in those opportunities but again it's really early for them and our focus has been on them keeping their employees safe and helping them to manage through this but that's roughly how we see the breakdown going forward and we'll know a lot more as we get through this over the next several months because we're pretty early into that process. Thank you. Next question please.
Operator: We will go to line of Ricky Goldwasser with Morgan Stanley. Please go ahead.
Ricky Goldwasser: Yes. Hi good morning. In the prepared remarks you talked about IngenioRx and outperformance that the core is performing ahead of your expectations. Can you just kind of like detail what the sources of the out performance and what's looking better and also the trends in Ingenio as a result of COVID  90 day has seen an increase. Do you think that this is sustainable and how do you think that the business evolves throughout the year?
John Gallina: Thank you Ricky for that question. I appreciate the opportunity to provide a little clarification on the IngenioRx first quarter results. As you know they're a separate SEC reporting segment effective this quarter and of the operating gain earnings associated with Ingenio over $349 million. That probably differs from what some folks were thinking about the $4 billion of savings that we got from moving to the CBS contract with at least 20% of that dropping to the bottom line and just very simplistic math would say that divided by four quarters that would be about $200 million per quarter. First of all it's very important to note that we had transferred ASO PBM business that our commercial lock had been administering for the last few years into IngenioRx effective January 1 of this year and that added about $75 million to $100 million through the Ingenio performance which obviously took away $75 million to $100 million from the commercial performance on a year-over-year basis. And then the rest of it was really just stronger performance. There was an impact from COVID-19. We did relax the refill too soon requirement in mid-March and we saw really a spike in scripts being filled during March that actually helped the Ingenio performance as well. So the 349 is not run rate because as we look at the rest of the year we do expect that business mix to change with some of the impacts from the economy, Medicaid to grow and then the run rate of scripts is obviously different. We have seen a slight drop in new scripts here in April over historical patterns and so the 349 you cannot just multiply by 4 but those are really the key factors and we're very, very happy with how Ingenio is performing and as you know this is a full year ahead of schedule that we're getting this $800 million dropping to the bottom line effective in for the entirety of 2020. So very happy with the Ingenio performance. Thank you for the question.
Gail Boudreaux: Next question please.
Operator: We'll go to the line of A.J. Rice with Credit Suisse. Please go ahead.
A.J. Rice: Hi everybody and best wishes to the entire Anthem team obviously in the midst of this as well but you made the comments in the prepared remarks scale about obviously telemedicine and Telehealth and virtual care is a change that probably persist. I wonder as you guys are seeing this situation evolved, what -- any other areas or maybe even expand on that a little bit but other areas where you think there's changes that are happening that will persist long term and how this crisis is going to impact long-term healthcare delivery in the U.S.?
Gail Boudreaux: Thanks for the question A.J. and also thanks for your kind remarks. Now as we think about this again it is an unprecedented time. We did, our first focus was really to ensure that our consumers and members had access to care and we pivoted fairly quickly to virtual care. We've always had capabilities but what we've seen is a real acceleration both through the use of our Sydney app online where people can go, check symptoms, understand where testing sites are and we've seen a dramatic increase of people using those digital capabilities. In addition, our care providers have been able to go online and use virtual care. So it's not only just virtual console but it's also texting and communication. So as we think about this there has certainly been an increase. We do think that as we re-enter the economy obviously and restart it, we have to be incredibly thoughtful, understand what the testing is and the confidence in the economy. So I do think we're going to continue to see use of a virtual care and it will continue to be an important part. It is something we started well before the pandemic but I think it also has accelerated the opportunity and people become more comfortable with it. In addition, sort of physical health the other area that we think there’s significant opportunity is behavioral health and we've seen a big increase in the use of behavioral Telehealth. Again a capability we had Beacon has always had this and we've expanded it as a result of the acquisition of Beacon Healthcare. One in three visits right now we're being used through virtual opportunity and we actually do see that continuing for behavioral and mental health support. So overall, I think that's one of the most interesting. The other opportunity I have is we've been working with our care providers trying to ensure that they are able to support their patients we've seen our own teams through care more and aspire reaching out to those patients and ensuring one of our concerns is that they do get the appropriate care that they need. So our teams have been working with them both on the social supports. So I think that's another area that's really growing and as part of our Medicare Advantage plans today we do offer supplemental benefits that include many of those things. So as I think about this I think we're going to see much more virtual care. I think the social supports are going to continue to be really important behavioral health aspects not only because of loneliness which we've always known but also the use of virtual care is very important. So those are the areas that I think right now we're going to see an uptick and I think we'll see a continued one as people become much more confident in that usage. Next question please.
Operator: We will go to the line of Justin Lake with Wolf Research. Please go ahead.
Justin Lake: Thanks. Good morning. Just a couple of quick numbers questions for me. First can you give us an update on your Medicaid margin trajectory towards that 3% target by year end and then would appreciate any comments on your employer customers in terms of what you're seeing in April around premium collectability given what's going on in the economy? Thanks.
Gail Boudreaux: Great. Thanks Justin. I'm going to ask Felicia maybe to comment on Medicaid and then I'll go to Pete Haytaian to talk a little bit more about the commercial marketplace. Felicia?
Felicia Norwood: Good morning and thank you for the question Justin. When you set aside COVID our Medicaid business was on track to end the year around 3% which is consistent with our original outlook. Our rate actions came in as expected during the quarter and our out of period adjustments were actually negligible. So we really had a clean quarter with respect to Medicaid. When you think about our Medicaid business over 50% of our Medicaid markets have rate actions that occur in the first half of the year. So we have very good visibility around that performance and if we look to the end of 2020 we may remain confident around ending the year at the midpoint of our target margin range of 2% to 4% for Medicaid.
Gail Boudreaux: Thanks Felicia. Pete? 
Pete Haytaian: Yes. Thanks Justin. I hope you're well and the family is well. As Gail said we recognized that this is obviously a really, really challenging time for our employers and for brokers and we're very focused on creating value for them. We've been in frequent communications with them on providing solutions as it relates to premium collections. This has been a topic of conversation. First on March, March was really in line with normal months as you'd expect COVID-19 didn't really hit until the second or third week. So our premium collections as related to March was generally in line and as it relates to April we are seeing a slight uptick in the month for clients that are utilizing grace periods. In a typical month the percentage of premiums for groups that are basically taking advantage of this is basically 0.5% to 1% versus April we've seen it be around 3%. So a slight uptick but as Gail said we continue to work with our clients on options around affordability and certainly providing solutions around premium payments as a part of that.
Gail Boudreaux: Thanks Pete. And just another piece of information Justin, as you think about our overall premium of 70% of our total insured premiums is part of the government business and that has been collected in time and we expect that to continue. Next question please.
Operator: We will go to the line of Lance Wilkes with Bernstein. Please go ahead.
Lance Wilkes: First, I certainly appreciate everything you guys are doing during the crisis. My question is really related to a number of the actions you're taking and was interested in what you think the impacts are going to be from a cash flow and investment income standpoint given acceleration of payables may be offset by slower claim submissions and then looking over on the receivable side, kind of a point of maybe some delays in premium collection. Also just had a quick clarification on your dental ASO business membership and maybe what occurred there as well. Thanks a lot.
John Gallina: Sure Lance. This is John. Thank you for the question. The investment income and interest expense it's probably going to be most instructive to view these on a combined basis. So let's just maybe started to beginning of the year and what has happened in the meantime is that the markets experienced a 150 basis point Fed rate cut that we did not anticipate and then we say what's the impact of that, well about 90% of our portfolio is in fixed maturities and they're all very high quality with the duration of over four. And which means that clearly any reinvested earnings are going to be down from what our original expectations would have been. The other 10% of our portfolio certainly has been subjected to a lot of volatility and subject the same way that the overall markets been subject to a lot of volatility and it's sort of difficult to predict where that's going to end up by the end of the year at this point in time. On the debt side we do have some variable rate there. So we have a natural hedge against interest rate dropping and so we'll have a benefit on that side but maybe more importantly in order to optimize liquidity we've accessed more debt and we're carrying really higher levels of short-term cash than normal. And additionally, we do have some bonds that are going to mature in August and November under normal circumstances would have refinance those later in the year but we're going to certainly be opportunistic in terms of timing associated with that and the impacts of carrying net debt. So all in, I would say that we're really looking at the net of investment income and interest expense to be a tailwind, I'm sorry a headwind against us for the rest of the year. So we had a slight tailwind with our first quarter actual results but for the rest of the year we think it will be headwind and we've obviously taken all that in considerations as part of the $22.30 reaffirmation guidance.
Gail Boudreaux: And Lance, in terms of your question on the specialty dental that really is as a result of one large client that we knew we were going to lose. It came to us as the results of our acquisition of DeCare under contract roughly 10 years ago and that contract expired in 2019. So overall our specialty business when you take that out actually had a strong quarter but that was a known loss coming out of this contract expiration as part of an acquisition. Next question please.
Operator: We will come to the line of Gary Taylor with JPMorgan. Please go ahead.
Gary Taylor: Hi good morning. I wanted to just ask a little bit for a little more detail on what you're doing with providers both hospitals health systems and your medical groups? I know you alluded to the $3 billion you've made available to providers. I think that's the broader Blue Cross system but just wanted a little more detail on is that just extending liquidity? I'd seen something from Blue Shield's those being done in conjunction with a bank taking the credit risk. I also know you made the $50 million donation to the foundation. So just wondering a little bit, what are you doing with these fee-for-service physician groups who are seeing really dramatic reductions in revenue and income in the near term?
Gail Boudreaux: Thanks for your question Gary and you're right first of all the $3 billion is part of the entire Blue Cross and Blue Shield system that we have been working really close with. I think part of what makes our affiliation unique here is that just our local and deep roots and we've been sharing best practices and really trying to make sure that we can respond to the needs that we're seeing in our local community. So as part of your direct question on care providers we've been working really closely with them and I've taken several steps to help support them during these challenging times. We've obviously talked a little bit about just the co-pays and things like that but more importantly one of our immediate efforts is to work with them and ensure that payments are made to them on a timely basis. So first and foremost we've been working with each of our provider groups to ensure that their receivables, etc. are important. They're reducing our administrative burden as well taking off pre-authorizations and really our focus has been to help them do what they need to do best which is serve patients in this environment. Proactively, as we think about our focus has also been on working closely in our communities. You mentioned in our fee-for-service providers in our local markets. That's an area that we have worked on each of our communities a little different in terms of their needs but our care provider teams are working with them to try to understand how we ensure that we're a good partner to them as part of our value-based care many of them are in, our value-based care arrangements. So we've been again working with them to support their needs so that they can stay viable during this time as well as enhance their ability to do Telehealth and other things to make sure that they can serve their patients. And on the government side of our business, particularly in Medicaid, we've been working very closely with our state partners to understand those critical providers and that we can provide them the right resources and support across their patient base. So I think as we look at that now one of the things that we also -- I think it is important to point out is that pre-COVID Anthem and the Blues across the system had some of the lowest days and claim payable in the industry. So we were already a fairly quick payer for these providers but even in addition of that we wanted to make sure that any of their receivables we're working to clean that up and ensure that they had separate cash. So those have been the areas that we have been predominantly focused on but again across the system we're sharing best practices and really trying to understand how we help and support providers as they really focus on direct delivery of patient care. Next question please.
Operator: We'll go to the line of Sarah James with Piper Sandler. Please go ahead.
Unidentified Analyst: Hey, this is Chris  on for Sarah. Just a quick question on the commercial book and how are you pricing for the June 1 renewals? So that can you share kind of around the conversation you're having for those and I guess specifically assuming that if we do have a fall COVID-19 peak that will drive some delayed surgeries in ’21, so you just -- any commentary on pricing for that cost  assumption.
Gail Boudreaux: Sure. I'm going to ask Pete Haytaian. I think it's pretty consistent with the previous question as well, Pete maybe to give a little bit more color just to better our commercial business. Pete?
Pete Haytaian: Yes, sure Gail and I think it is consistent. Most of our book as Gail said renews on January 1 and this is such an unprecedented event there are so many moving pieces and parts and so getting our arms around it, this is something that we're very focused on but things will evolve over the next few weeks and months. It will give us t better visibility into rates and what we do with increases in the back half of the year and towards January 1. We feel like we still have time in that regard as it relates to the near term rate increases, we don't have a lot of our book really renewing in the near term and since COVID wasn’t apparent at that time, it was not as greatly considered but as Gail said most of our book renewing in January 1 we have plenty of time once we see how medical costs and deferred electives occur in the back half of the year.
Gail Boudreaux: Thank you Pete and also just I think to reiterate, we said this in the earlier commentary but I think it's part we always and we're going to keep saying consistent and disciplined pricing to our forward view of costs but we also recognize that this is a unique situation in terms of what's happening and we will work with our consumers and our customers to ensure that inequities that occur along the way that we are taking that into consideration as we understand the cost patterns of exactly what's happening. Next question please.
Operator: We will go to the line of Dave Windley with Jefferies. Please go ahead.
Unidentified Analyst: Hi good morning. It's Dave  for Windley. First question was just on, I was curious about the use of the $3.2 billion of PBM savings that's not going to shareholders. Is that something which is obviously in your control that you might use to support some of the EPS headwinds that you guys have disclosed and then just a quick second one, I'm wondering if you could provide an apples to apples commercial operating margin comparison than the commercial ASO pharmacies now out of that for the first quarter of this year?
John Gallina: Thank you Dave for the question. So first of all on the $3.2 billion that you're referencing which is the amount that's been provided back to members and consumers to help control healthcare costs associated with our better PBM deal. The way that we approach that is we really looked at each line of business and looked at it from a competitive marketplace, looked at it from a geographic marketplace where we were versus the competitors how close were we to MLR rebate MLR floors and went through and like a Medicare Advantage look that the benefit designs and how we could include our enhanced benefit designs and still ensure we achieve target margins. And we went through a very painstaking process as I said with every line of business geography by geography by geography we end up going a little bit better than the 20% as you can tell by our first quarter operating results. But it's not a lever in and of itself that we could just pull and take a large chunk that down to the bottom line. We are in a very competitive environment and we are trying to deliver the appropriate value to our members at the appropriate pricing. So we've always aspired to do a bit better but it's not just a short-term lever that we can pull. It's something that is part of a larger overall strategy in terms of price points, product designs and all the other types of things. And then the second part of your question associated with just year-over-year comparison. Really the most significant issue is to take the commercial operating gain that's shown in the press release and just go ahead and subtract $75 million to $100 million out of the  from the first quarter of 2019 and then what you'll have is something that's much closer to an apples to apples comparison of how that commercial segments actually performed year-over-year.
Gail Boudreaux: Next question please.
Operator: We will go the line of Scott Fidel with Stephens. Please go ahead.
Scott Fidel: Hi. Thanks. Good morning. I had a question just on how you're thinking about the exchange strategy in terms of the footprint in participation for next year. I know that you've taken a pretty disciplined approach towards market selection over the last couple of years but clearly just given the significant market shifts that will likely occur on how aggressively you're thinking about ramping that up and then maybe if you could just remind us at this point across your 14 Blue states just in terms of what your current footprint is on the exchange market?
Gail Boudreaux: Great. Thank you for the question, Scott. I'll start and then I'll maybe ask Pete to give a little bit more color on it but I think appreciate your comments because I think you're right on that. We have been -- I think taken an active involvement in the individual market and state in the exchanges but have been prudent in terms of where we think we have the best opportunities to have an impact and we've been balanced. So we modestly expanded our footprint within our 14 states in 2020 but as we shared with you on previous calls we weren't rescaling it. We're really taking a measured balanced approach. We actually feel that we have a really good footprint going into this and an opportunity to offer some really compelling products to our members in those 14 states as part of the individual exchange. So with that maybe I will ask Pete to give some commentary just on the thinking because his team has been really involved in, how we think about the exchanges and our opportunities. Pete?
Pete Haytaian: Yes. Sure. Thanks Gail and thanks Scott for the question. Yes, I am really proud of the team and the approach we've been very thoughtful over the last couple of years with regard to how we expand. We have been expanding our focal point in almost every instance is ensuring that we can partner with the right providers. We look very closely at value-based relationships. We look at where we can partner on critical clinical programs as well as programs like risk adjustment and then obviously where we can have the most viable and affordable product and choice for membership and that strategy's really played through over the last couple of years. We haven't fundamentally changed that and so as we think about what's happening with COVID and the potential recession we still are following those principles but as Gail said with respect to coverage we have pretty decent coverage across our 14 states. It certainly does vary and in some states we are very competitive across most of the counties in the state. In other states we are much more targeted and I don't think we're going to fundamentally change that approach if we can be competitive in many counties in the state we will be, but if we don't feel like we can we're going to be disciplined and not necessarily re-enter.
Gail Boudreaux: Next question please. 
Operator: We'll go to the line of Kevin Fischbeck with Bank of America. Please go ahead.
Kevin Fischbeck: Great. Thanks. I wanted to follow up on the comments that John made earlier about thinking that about 30% or 40% of the cost that you guys cover are deferrable in some way. I am just wondering is that based upon kind of real-time data? I think most of the providers that we've talked to have said that there is going to be much bigger drop in  would have thought was possible. So just wanted to understand this for your historical view on costs are kind of informed by the real term real time drop in utilization that seems more perverse than average and then just try to get a sense of when you do see drops like this in the past, what percentage goes away versus ultimately gets rescheduled and whether you think that percentage might change this time around?
John Gallina: Thank you Kevin for the question. In terms of the 30% to 40% that was based more on a historical view and it may be closer to the higher end of the range in terms of what we're seeing right now and with real time utilization but that's our historical view and we call it not emergent care and the things you can pick up the phone and schedule but it's been pretty consistent for us over the last couple years when we've done the study and the analysis. In terms of the percent that gets deferred and the pent-up demand is comes back as increased utilization versus what gets canceled all together. We've certainly looked into that and we've studied things like when there were snow days, or when there were hurricanes or natural disasters but those are all helpful, I don't know that they're really going to provide us the exact information we need from a modeling perspective because this is such an unprecedented time and it's just different. The scope and duration of the entire COVID-19 issue is going to be different than anything we've seen and so while we do expect a small amount to not come back it's really too early to provide an estimate or a percentage of what we think will be pent-up demand and the increased utilization in the future but we know that there will be increased utilization in the future once people are more comfortable going back to the hospital and to the doctor.
Gail Boudreaux: And I would also add that we also know and appreciate the patients are avoiding seeking some care in the interim and so that's an area with underlying medical conditions that we are concerned about and that could worsen. So we are closely trying to monitor and help those patients and make sure that they have the right access. So again as John shared this is unlike any of the historical models that we've had. We have certainly done a lot of modeling but at this stage I think it's really hard to give any point estimates about where this will end up and really appreciate your understanding of that. Next question please.
Operator: Charles Rhyee, your line is open. 
Charles Rhyee: Hi, can you hear me?
Gail Boudreaux: Yes. Please.
Charles Rhyee: Okay. Great. Thanks for taking the question. First a clarification, I think to an earlier question. I think the question on virtual care. Gail, did you mention on sort of what percent of your ASO clients are currently signed up for LiveHealth Online and is that something that's easily turned on so if clients wanted to access Telehealth, is that something they can get onto for this current period or is that something they'd have to look at for next year? And then secondly, John you were talking about -- we've been talking a lot about sort of deferred cost and one area where we're looking at it seems like investment income came in higher than were expected and I think if you were to annualized the amount in the first quarter will be probably above sort of the guidance range for the full year, yes we've seen rates fall. Is there something in the 1Q number that we're missing here and so if we think that number normalizes for where interest rates have kind of fallen to? We have less share repo as well. We have higher incremental interest expense. Are you kind of implying that the amount of elective procedures? You do expect to come back still, we're going to set the big drop in second quarter, it's going to come back a little bit in third and fourth but net, net we're still going to be down fairly significantly for the full year or do you think at the end of the day we might net out roughly close as we kind of exceed normal capacity let's say in the fourth quarter? Thank you.
Gail Boudreaux: Well, thank you for that very thorough question. Now I know we had a gap in the timing. You were accumulating all of those but appreciate the question. We will try to address them. Let me start with first your question about LiveHealth Online. First and foremost Sydney Care which is the app that LiveHealth Online is using as well as our engaged, we've seen more than a 39% increase since 2019 well ahead of our expectations and by the way Sydney Care is part of COVID-19. We have offered to anyone who wants to use it, so this is not a subscription service. You can essentially sign on, download the application, do the Corona virus symptom checking as well as the testing and that's been very strongly used. So we think it's obviously a capability more broadly. But if you think about LiveHealth Online it's one of the aspects of virtual care and again very strong usage but also -- I also think we're going to see more virtual care within our -- sort of traditional care providers because they have also pivoted to that. So not only are we seeing an increased usage in the virtual part of it but also texting back and forth in terms of symptom checking and other things. So a lot of strength their continued. We've seen continued growth. We saw an initial surge certainly when the shelter-in-place orders were given but we're continuing to see that week over week. So I think it's going to continue to grow and again 39% increase so far and I’d expect it to continue to grow through the course of the year. With that I'll ask John maybe address your other questions.
John Gallina: Thank you Charles. So in terms of the investment income and interest expense it's consistent with the question that Lance asked earlier and that is that, we did have a very strong first quarter in that perspective but given all the comments that made before about the 150% basis or a 150 basis points Fed rate cut the fact that 10% of our portfolio has been subject to some extreme volatility. The fact that we're accumulating cash to really address our liquidity issues and to ensure that we have enough cash and assets to maintain and pay all of our claims and accessing the debt markets maybe a little bit earlier than normal on a net basis that will be a headwind for the rest of the year and we just haven't quantified that at this point but it's all part of the $22.30 . And then the last question on the deferrable procedures in the 30% to 40%. Right now we're expecting that the second quarter medical loss ratio and the second quarter earnings per share will be very favorable to historical numbers and a very low MLR on a comparable basis here in the second quarter and then we do expect the pent-up demand to come in. The real question is what's the duration of the COVID-19 situation before the deferrable procedures really kick back up and there's a very good chance that many of those deferral procedures will work away into 2021. And so when you're looking at 2020 in a vacuum there's a good chance that we'll be in that positive but over the course of a couple of years people will get to care and we will have the cost structure associated.
Gail Boudreaux: Thank you John. Next question please.
Operator: We will go to the line of George Hill with Deutsche Bank. Please go ahead. Mr. Hill you have taken yourself out of queue. 
George Hill: Hello? 
Operator: Mr. Hill your line is open.
George Hill: Okay. Sorry. I don't know what happened there team. I guess just we would probably be in the beginning of the PBM and managed care selling season for 2021 right now and I guess I was focused on Ingenio with the market traction it had shown recently. I guess can you say whether or not you started to see the PBM selling season for 2021 start to move as normal with people working remotely and benefits consultants working remotely or you kind of expected selling season to be a push until the ‘21 selling season starter? I guess any comments around the selling season as it relates to the virus would be helpful.
Gail Boudreaux: Sure. Thank you for the question. I think we are operating in an incredibly rapidly changing environment. I think it's still early to really understand the full implications. With that the way our sales cycle work a lot of activity for the beginning of next year really does occur now and we are seeing a slowdown in decisions. I mean, I think employers are particularly focused on ensuring the safety and health of their employees first and foremost and also trying to understand the implications to their own businesses. With that said we had a really strong pipeline and what we expect across many of these procurement opportunities that they'll just, they'll move out further into next year. And so I think we still have really during opportunities but I do think we are going to see some deferred decisions just because of what's happening across this environment and need for employers really to focus on their own business right now and the health and safety of their employees. With that said I think we've had a very compelling offering and still feel really strongly about the value proposition particularly the opportunities inside of our fee based business and in the commercial business. Thank you. Next question.
Operator: We will go to the line of Josh Raskin with Nephron Research. Please go ahead.
Josh Raskin: Hi, thanks. Good morning. Can you hear me, okay? 
Gail Boudreaux: We can. Thanks Josh. 
Josh Raskin: Excellent. I wanted to follow up on the commercial membership and understand that March was “normal” month from an enrollment perspective but sort of curious on early membership trends in April and do you get information on furloughs that where people actually maintain their benefits? Are you just getting benefit roles or are you actually getting employment roles? And then sort of the last part of that is just ancillary benefit cross-sell you guys have talked a lot about that trying to increase your ASO fee on a PMPM basis and do you think that sort of slows down the process, you sort of mentioned that the last question that employers are kind of just making sure everybody is okay first. So a couple of questions there just on commercial membership?
Gail Boudreaux: Sure. Thanks Josh. I'm going to have Pete Haytaian to answer your questions. Pete?
Pete Haytaian: Yes. Thanks. Josh. Yes with respect to April it hasn't been fundamentally different than March. As Gail said in her commentary we are seeing furloughs accelerate. We obviously had the PPP, the federal relief and folks taking advantage of that. We've been working closely with our employers and brokers on affordable options. We've been working closely with them on creating relief around premium payments. So all that activity as it relates to April, we really haven't, we haven't seen an acceleration yet in disenrollment. We are beginning to see signs of that in the last couple of weeks of April. We did see in group change start to accelerate, so employees beginning to fall off the rolls but not to a very  numbers more broadly we are expecting that to accelerate in the next month or so. And again our focal point has been creating solutions for employers and brokers, buy downs alternative to products, etc. As it relates to furloughs, yes we do get information from clients. We are very closely connected with our brokers and our employers. We've had multiple webinars. We've had multiple outreaches. We're staying close to them. They're actually asking us for a lot of advice around things like that. So for example, if they have, if they're furloughing employees and/or if they're reducing hours of employees what kind of options exist for them. So I think that is part of the reason why you're not seeing as much activity in April out of the gate and then as it relates to our ancillary benefit strategy and our margin improvement in the ASO business, we had a really strong ‘19 in that regard. We had a strong first quarter in that regard. To Gail's point earlier with respect to RFPs slowing down that will inevitably affect us in 2020 as it relates to performing around the 5 to 1 to 3 to 1, but I think the other important part to point out around that is we're selling a lot of incremental value as it relates to going from 5 to 1 to 3 to 1 and it actually translates into affordability. So when you think about critical clinical programs and packaging of those programs, when you think of stop-loss, when you think of pharmacy and the integrated value proposition of pharmacy to the extent that we can sell through on that and have Anthem be a single source solution. I think we're enabling more affordability but that's with eyes wide open and the understanding that some of that may slow down in 2020. We are though once we get out of this we feel very good about continuing on our path to 3 to 1 and if not for COVID, Josh we would stick with what we had said and that is that we were on a path to definitely get to 4 to 1 in 2020. So we might see a slight slowdown in that but it'll pick up again.
Gail Boudreaux: Thanks Pete and Josh just a little bit more color on Pete's commentary and your specifics about how do we know what's happening as we do the deep analytics on our business, we are looking at SIC code obviously and just a little bit of color on that, our book does skew a little more towards large municipalities which are a little more stable as well as essential workers right now. So that's why you wouldn't see as much of that kind of furlough activity early on in our book of business. And we're going to take the last question please.
Operator: And that question comes from the Steve Willoughby with Cleveland Research. Please go ahead.
Steve Willoughby: Hi, good morning and thanks for taking my question. Just a quick follow up on a comment that John was discussing earlier as it relates to utilization coming back in the back half of the year, John in your prepared remarks you made a comment about assessing the healthcare systems capacity and I was just wondering if you could provide any more color or how you're thinking about that once we get any other side of this virus? How are you guys thinking in terms of the healthcare system being able to absorb capacity or utilization above normal? Thank you.
John Gallina: Thank you Steve. That's a great question and certainly if there's a couple of thousand – thousands of providers out there, there's probably thousands of answers to that question but there's only so many surgeons, there's only so many beds, there's only so many access or availability to appropriate points of care and it's really difficult to give an exact percentage or difficult to provide something that's really specific from a modeling perspective but as you look at the various facilities that are out there and the information that many of us have -- have available to us from the public marketplace and you look at some of the productivity and capacity percentages at these large public hospitals, you can then make assumptions from there in terms of just how much they can even do. And quite honestly given the duration of this virus in this situation, once the pent-up demand comes through, I don't think it's possible that it'll be able to be handled in a short period of time. I think it's an elongated period of time for the pent-up demand to work its way through the system. And that assumes that everyone is comfortable scheduling their procedures and going back to the hospital and going back to the doctor's offices as well which is another variable on that. So it's just one of many-many-many variables but it's a very important variable. Thank you for the question.
Gail Boudreaux: Thank you John and thank you to everyone who joined us this morning. Despite the challenges facing this country with COVID-19, Anthem is well-positioned to fulfill our promises to those we serve in this new era for healthcare. As we move through this pandemic we'll continue to lead and lend our voices and perspectives across the healthcare system to support our members and customers as well as our care provider and other partners. The lives of those we serve we now changed and in that spirit Anthem is also evolving to create a simpler more affordable and more effective healthcare experience in this new context. I'm confident we will emerge on the other side of this current pandemic even stronger and more nimble as the healthcare partner of choice demonstrating the strength of our brand where Blue Cross and Blue Shield currently serves nearly 1 in 3 people in the United States today. We hope you all stay safe and well and thank you again for joining us.
Operator: Thank you. And ladies and gentlemen this conference is available for replay starting at 10:30 A.M. Eastern time today through May 13 at midnight. You may access the replay system at any time by dialing 1-866-207-1041 and entering the access code 383663. International participants dial 1-402-970-0847. That does conclude our conference for today. Thank you for your participation and for using AT&T conferencing service. You may now disconnect.